Operator: Ladies and gentlemen, thank you for standing by. My name is Kamika, and I'm your event operator today. I would like to welcome everyone to today's conference, Public Service Enterprise Group Third Quarter Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded today, November 1, 2012, and will be available for telephone replay beginning at 1 p.m. Eastern Time today until 11:30 p.m. Eastern on November 15, 2012. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com. I would now like to turn the conference over to Kathleen Lally. Please go ahead.
Kathleen A. Lally: Thank you, Kamika. Good morning, everyone. We appreciate you participating in our earnings call this morning. We know it's not as easy for all of us to participate this morning. Operating conditions may not be optimal in the wake of Hurricane Sandy, and do appreciate you taking the time to listen to our call this morning. As you are aware, we released third quarter 2012 earnings statement earlier today. As mentioned, the release and attachments are posted on our website under the Investor section that would be www.pseg.com/investor. We also posted a series of slides that detail the operating results by company for the quarter. And our 10-Q for the period ended September 30, 2012, is expected to be filed shortly. We won't go through the full disclaimer. But as you know, the earnings release and other matters that we will discuss in today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. And although we may elect to update forward-looking statements from time to time, we specifically disclaim any obligation to do so, even if our estimate changes, unless we are required to do so. Our release also contains adjusted non-GAAP operating earnings. Please refer to today's 8-K or other filings for a discussion of the factors that may cause results to differ from management's projections, forecasts and expectations and for a reconciliation of operating earnings to GAAP results. I would now like to turn the call over to Ralph Izzo, Chairman, President and Chief Executive Officer of Public Service Enterprise Group. Joining Ralph on the call is Caroline Dorsa, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions. Ralph?
Ralph Izzo: Thank you, Kathleen. Good morning, everyone, and thank you for joining us today. I'm going to deviate a little bit from our usual approach to this quarterly call by briefly discussing Hurricane Sandy and then we'll go to the usual discussion that Caroline and I will walk you through. It does seem that every storm that hits our service territory nowadays has a particularly different set of challenges that come along with it. But I must tell you the one thing that's consistent in each of those storms is the willingness of our employees to respond to each and every challenge in ways that can be ascribed as nothing short of heroic. So at the risk of stating the obvious, you know our system was hit earlier this week by high winds, heavy rainfall. But probably the most significant damage we sustained was due to a tidal surge that was associated with Hurricane Sandy that hit the northern part of the territory and uniquely, did some damage to our transmission system, some of our switching stations which -- and then of course, obviously, the high winds damaged the distribution system throughout the service territory. Some of our generation infrastructure was affected in the northern part of New Jersey as well, but that is less of a story than what's happened from a customer point of view. We believe that about 1.7 million customers lost power at some point since this began on Monday. And right now, we have about 775,000 customers still without power. So we restored about 1 million and that just gives you a sense of the dedication that our employees have shown to this restoration effort. We've got an unprecedented amount of help from colleagues in the industry, and I cannot say enough good things about the help we're getting from Governor Christie and his administration, and recently, the President actually was willing to speak to a group of EEI CEOs and me personally about what he could do to help us out. So all hands on deck, and everyone is pitching in. But again, the Christie administration has just been incredible and unbelievable. We have told people that we think full restoration is going to take anywhere from 7 to 10 days. And hopefully -- not hopefully, I know from a fact that in the last 30 seconds that I've been speaking to you, we've restored some customers, but the tail is going to be long, and there are going to be some folks at the end of that tail that will unfortunately just need to exercise some patience in ways that we haven't had to ask them before in the past. Now it is too early for us obviously to give you an exact accounting of the costs. But I just want to give you some comparative numbers, so that you can get a sense for the issue here. Because the issue here is a customer issue, all right? Irene was $0.02 impact on O&M with $0.03 of deferred costs. And the snow storm last year was about $0.01 impact on O&M with $0.03 of deferred costs. Now this storm is different in 2 major ways. It's bigger. It's about twice the size of Irene from a customer out point of view. But it's got a lot more transmission outage, which is driving that customer count. And as you know, our transmission equipment is regulated by FERC, and we do think that we have the ability to recover those costs through our formula rate. What we're evaluating right now is whether or not we can modify our filing in October or do we need to true that up next year. On the distribution level, we've asked the BPU for their approval to defer the cost of this storm that has been their custom in the past, can't guarantee that for the future, but that has been their custom consistently. And I know I'm going to sound like a broken record, but I just can't say enough good things about we've been working with the administration throughout this event with the staff of the BPU, with senior officials with the commissioner's themselves. So everyone is committed to 100% -- 100% committed to the safe restoration of the power and making sure that we get the job done as quickly and as safely as possible. So we'll give you an update when we have more information. And there's something I will predict confidently for you is that historically, this is when PSE&G has shined like no other company. And I have no reason to believe that this is any different in that regard. So while we now break away back into the kind of usual earnings discussion, and then we will open to all kinds of questions at the end of the call though I'm a little disappointed in Kathleen, she promised me she would announce at the beginning of the call that if you live in New Jersey, we were not taking street address or specific complaints. So here we go, we did report third quarter call this morning of $0.75 a share, and that compares with operating earnings of $0.83 a share in 2011. So $0.75 this year versus $0.83 in 2011. So our financial results continued to be strong despite low power prices, and our results demonstrate the benefits of a generating fleet that has fuel diversity and operational flexibility and the growing importance of electric transmission to our earnings. And we still expect this year to end up between $2.25 and $2.50 a share. We're not moving off of that change. The results demonstrate the success of a strategy that serves both our customers and our shareholders as well. And the strategy is one that uses a very strong balance sheet to expand our customer-centered investments. It's a strategy that captures the opportunities available in our more stable regulated business, and it's a strategy that places the focus on improving the operating efficiency of our generating fleet. It's a strategy that's going to support double-digit compound annual growth in our regulated operating earnings from '11 through '14, and at the same time, provide long-lasting benefits to New Jersey's economy with the creation of jobs and critical improvements to the infrastructure and the addition of clean energy and support of the state's energy master plan. The value of our generating assets, it just continues to be demonstrated by the flexibility associated with having a low-cost, well-run nuclear baseload generating fleet, coupled with a large set of combined-cycle gas-fired generating assets in PJM and a very efficient fleet, all capable of responding to the market's demands. This flexibility has allowed us to take advantage of market opportunities as we remain diligent in managing our costs. The capacity factor of our nuclear fleet has improved on the strength of continued excellent performance at Hope Creek and improvements at Salem, which -- and Salem, in particular, performed at its second highest level ever this past summer. Our combined-cycle generating assets also operated at historically high levels in the third quarter. And 267 megawatts of new, more efficient generating capacity at Carney were available to meet this summer's peak demand as well. And some of that, you may recall, was originally scheduled to go into service in June of '13, so we actually got that in the year ahead of schedule. So as you know, a central element of our strategy over the past 4 years has been the decision to direct increased capital investment toward our regulated business. PSE&G's existing capital program reflects a commitment to invest $5.4 billion through 2014 to expand the state's energy infrastructure and improve reliability, with $3.5 billion of the total investment dedicated to the expansion of the high-voltage transmission system. The program is well underway. We received major regulatory approval this year for the construction of the 500kv Susquehanna-Roseland transmission line and the North Central Reliability line, even while we're pursuing the local approvals needed for the construction of the Northeast Grid line. These 3 lines alone represent 60% of our planned investment in transmission. And as I said, the regulatory approvals are well on hand. When we're done with this $3.5 billion program -- actually the continuation of it even beyond 2014, it positions us to be the second-largest owner of transmission in all of PJM. So PSE&G's planned $5.4 billion capital program does not include the recently filed request with the New Jersey Board of Public Utilities to invest up to an additional $883 million on new solar energy through our Solar Loan and Solar 4 All programs. We'll get greater clarity from the BPU on these programs in the first quarter. Sufficed to say, we haven't had very many conversations about this in the last 3 days. So the investment programs are critical to maintaining reliability. They support the clean energy goals of the state. And equally importantly, they support New Jersey's economy through the addition of new jobs. And as I said so many times before, but it bears repeating, these results would not be possible without the dedication of our employees who continue to find ways to respond to market conditions. Now you may recall, we started this year forecasting compound annual growth in our O&M of 2.9% through 2014, but we continue to find ways to outperform our expectations. For the 9 months ended September 30, Power's O&M has declined. This achievement would mean that Power has kept its O&M flat for the 4 consecutive years from 2008. Now we can't promise to maintain that level of spending, but we do promise to keep trying. These efforts to control our costs are further exemplified by the recent agreement to extend contracts for 4 years with 3 unions representing more than half of our employees. The agreements call for 7 3/4% increase in wages over the length of the contract -- the 4 years, as well as a onetime 1.5% lump-sum payment when the contract takes effect in May of '13. This extension assures predictability and stability of costs while maintaining competitive wages for our workers. It is also another important demonstration of the commitment of our employees for the success of this company. Many of them are shareholders, and all of them know that we have been and will continue to be a great place to work. Taken all together, we believe these efforts at mitigating costs are critical to preserving shareholder value in a period of low market prices. Now another important development falls into the category of getting the rules right. It's actually imperative to ensure level playing field within a competitive marketplace that we get the rules that govern the marketplace in the right order. PSEG is part of a diverse stakeholder group, supportive of the efforts underway at PJM to change the minimum offer price rule underlying the capacity markets. We believe the proposed changes, if approved, will help mitigate against market manipulation by subsidized participants. And we would expect to propose changes to be effective in time for the May of 2013 capacity auction. We are operating with the expectations that power prices will remain well below recent history, but on average remain above the market lows seen earlier this year. Now I just want to explain what that means. We plan all of our operations based on a forward curve, and we run the business with those circumstances in mind. So what we see is what you see when you look at the current board market curves. Now we're focused on managing the downside risk in power markets through attention to cost control, improvements in operating efficiency and through our hedging activity. We are committed to maintaining a strong balance sheet, and the maintenance of a strong balance sheet has been critical to our ability to finance our investment program without diluting shareholders. The complexion of PSEG's earnings is changing, with a change in power market dynamics, as well as the investment program underway in our regulated operations. This change is going to yield an increase in cash and earnings from our regulated business in support of our dividend objectives. Our commitment to meeting the needs of our employees and customers is unwavering, as we also seek to meet the needs of our shareholders for growth. So Carol, I'm going to turn to the call over to you, and you can discuss our operating results in greater detail.
Caroline D. Dorsa: Great. Thank you, Ralph, and good morning, everyone. I'll review now our quarterly operating earnings, as well as the outlook for full year operating results by each subsidiary company. As Ralph said, PSEG reported operating earnings for the third quarter of 2012 at $0.75 per share, versus operating earnings of $0.83 per share in last year's third quarter. So for the 9 months ended September 30, 2012, we reported operating earnings of $2.07 per share versus $2.25 per share last year. Slides 4 and 5 of our webcast deck provide a reconciliation of operating income to income from continuing operations and net income for the quarter and year-to-date. We've also provided you with a waterfall chart on Slide 11 that takes you through the net changes in quarter-over-quarter operating earnings by major business and a similar chart on Slide 13 provides you with the changes in operating earnings by each business on a year-to-date basis. So as usual, I'll now review each company in more detail starting with Power. As we show on Slide 15, PSEG Power reported operating earnings for the third quarter of $0.43 per share compared to $0.51 per share a year ago, a net decline of $0.08 per share. Power's earnings were greatly aided by an increase in dispatch of the combined-cycle natural gas fleet and the continued strong contribution from the nuclear fleet, as Ralph mentioned. Power's earnings was reduced by $0.15 per share quarter-over-quarter due to a decline in energy prices. This decline in prices reflects the impact of lower prices under the basic generation services contract, or BGS, as well as lower wholesale prices. The contract price for 1/3 of the BGS-related load declined to $84 per megawatt hour on June 1 of this year from $104 per megawatt hour of the expiring contract. The impact on earnings from the decline in price incorporates the effect of customer migration away from the BGS contract. Customer energy migration of 37% during the quarter was less than expected, slightly less than the 38% level experienced in the second quarter, but remains consistent with our full year guidance for migration to represent between 36% and 40% of total BGS load. Wholesale prices remain below levels seen a year ago. However, pricing during the quarter was very responsive to heat, and the forward power curve generally increased through the quarter, in line with demand for electricity and the price of gas. The availability of the natural gas-fired combined-cycle fleet allowed PSEG Power to capture these prices. Output from Power's generating fleet increased 3% in the quarter from year-ago levels. This increase in output added $0.01 per share to earnings. Production from Power's combined-cycle natural gas fleet increased 17% in the quarter to represent 32% of total generation. This level of production represented the highest summer output ever achieved by the combined cycle fleet. The fleet's capacity factor improved to approximately 67% from 57% in the year-ago quarter. The PJM fossil fleet also benefited from the incremental dispatch of 267 megawatts of new, more efficient combustion turbines installed at the Carney site in June, as Ralph mentioned earlier. The improved dispatch from the combined cycle fleet and peaking fleet more than offset the decline in the dispatch of Power's coal-fired fleet, which continues to be affected by low gas prices relative to coal. When the New Jersey coal units, Hudson and Mercer, did run this summer, they ran on coal more than half of the time they were in operation. And the decision to operate these units on coal took into consideration the increase in the cost of gas throughout the summer, as well as the cost of not burning coal under contract. PSEG Power has renegotiated the terms of its coal contracts to more closely reflect the anticipated fuel burn at the stations over the next 2 years. Production from the nuclear fleet, which represents more than 50% of Power's generation increased 2% from the year-ago quarter. The fleet benefited from strong operations at the Salem station, which recorded its second-highest level of output during its operating life for a summer period. The good performance from Salem and continued excellent operations at Hope Creek lifted the nuclear fleet's average capacity factor in the quarter to 92% from 90.6% in the year-ago quarter. The performance in the quarter has resulted in a year-to-date capacity factor for the fleet of 92.5%. The scheduled refueling at Salem 2, which began in mid-October was interrupted by activity at the site in preparation for the hurricane. In addition, Salem 1 was taken out of service to reduce the impact of storm surge on its operations. Taking this into account, the fleet is expected to operate at a capacity factor of about 91%, taken for the full year. Power's quarter-over-quarter earnings also benefited from continued tight controls on expenses at the fossil station. A reduction in operation and maintenance expense improved earnings by $0.01 per share. And just to note, year-to-date, Power's O&M is better than year-ago levels by $0.03 per share, and we've talked about those savings earlier this year in prior quarters. An increase in the average capacity prices added $0.05 per share to earnings in the quarter. Recall that the weighted average price per capacity on our fleet increased to $153 per megawatt-day on June 1 of this year from $110 per megawatt-day, the expiring capacity price. The increase in capacity prices will be in place through May 31 of 2013. The benefit of Power's asset and fuel flexibility are illustrated on Slide 20, which provides information on Power's gross margins for the third quarter period of 2010 through 2012, as well as Slide 19, which details Power's cost of fuel for the quarter and year-to-date periods. Given market conditions, it's not a surprise that margins have declined. Power, however, has been able to offset a meaningful portion of the decrease in pricing through the increased utilization of its lower-cost, combined-cycle gas facilities. Maintaining these facilities to assure their availability is important to Power's ability to capture upside opportunity on a portion of its gas-fired generation. As shown on Slide 21, Power continues to forecast output for 2012 of 53 to 54 terawatt hours. Approximately 80% to 85% output for the remainder of the year is hedged at an average price of $54 per megawatt hour, resulting in an average hedge price for the year of $60 per megawatt hour. For 2013, Power has hedged approximately 60% to 65% of its forecast output of 52 to 54 terawatt hours at an average price of $51 per megawatt hour. And for 2014, power has hedged approximately 30% to 35% of its forecast output of 53 to 55 terawatt hours at an average price of $49 per megawatt hour. Power has actively managed its portfolio with an eye toward protecting base load generation from downside risk, while preserving upside opportunity on gas-fired generation as it remains open to peak prices. And just as a reminder, what is embedded in our average hedge price data are hedges done at PJM West, as well as all of our BGS-related hedges at the full requirements price less capacity. These figures are consistent with our view of BGS and hedging requirements going forward. We continue to forecast operating earnings for Power in 2012 of $575 million to $665 million. The year will be influenced by a decline in average realized energy prices. Capacity margin was lower on a relative basis in the first 6 months of the year, higher in the third quarter with the new capacity price and will be similarly higher on a relative basis in the fourth quarter, as that third quarter compare continues in the fourth quarter, resulting in, essentially, a flat full year capacity margin relative to prior year. Let's now turn to the PSE&G. PSE&G reported operating earnings for the third quarter of 2012 of $0.30 per share compared with $0.30 per share for the third quarter of 2011, as we show on Slide 25. PSE&G's results were affected by an increase in transmission revenue offset by O&M and weather relative to last year. An annualized increase in transmission revenue of $94 million effective on January 1 of this year increased revenue by $0.03 per share quarter-over-quarter. The weather experienced in the summer of 2012 was hotter than normal, but cooler on average than conditions experienced in the year-ago quarter. As a result of the less favorable weather comparisons, electric sales declined by 0.6% in the quarter. This decline in sales reduced earnings by $0.01 per share. We estimate that electric sales increased by 0.8% on a weather-normalized basis, but we did not see similar growth in peak demand. PSE&G experienced an increase in O&M expense which reduced earnings during the quarter by $0.02 per share. The increase reflects higher pension-related expense and the cost associated with the expansion of the transmission system, which more than offset the absence of storm-related expenses in the year-ago quarter. Depreciation expense also associated with the increase in the company's investment program, reduced earnings in the quarter by $0.01 a share, but the impact on earnings was offset by other miscellaneous items. And just a note for you, our increased investment in transmission added $0.02 per share to bottom line earnings quarter-over-quarter, after taking into account both the revenue that I just mentioned, as well as the cost of depreciation and operating expenses. PSE&G received major approvals required for construction of the Susquehanna-Roseland 500 kv transmission line from the National Park Service and the New Jersey Department of Environmental Protection. The line is scheduled to enter service in mid-2015 at a capital cost to PSE&G of up to $790 million. S-R is the second major transmission line this year for which PSE&G has received all major approvals for construction. PSE&G filed its 2013 annual formula rate update with the Federal Energy Regulatory Commission, FERC, in October of 2012. The request would provide for an increase in annual transmission revenues of $174 million to be effective on January 1 of 2013. This request reflects the costs associated with an expansion in PSE&G's transmission-related investment over the next year. PSE&G's commitment to expand its investment in transmission will position it as the second-largest owner of transmission within PJM. PSE&G's request to increase spending by up to $883 million under its existing Solar 4 All and Solar Loan programs have been filed at the New Jersey BPU. The submittals have been deemed complete, and we anticipate decisions by the commission on these 2 requests during the first quarter of 2013. We continue to pursue additional investment opportunities at PSE&G in support of a clean, efficient and reliable network. PSE&G's results are consistent with our forecast of operating earnings for the full year of $530 million to $560 million. And as Ralph said, we anticipate that our efforts will result in double-digit compound annualized growth in PSE&G's operating earnings from 2011 through 2014. And this expectation is based solely on those programs for which we already have approval at the BPU, as well as the spend that is part of our $3.5 billion transmission program over the same period. Let me now turn to PSEG Energy Holdings and the enterprise. Energy Holdings, together with the parent, reported operating earnings of $0.02 per share for the third quarter of 2012 versus operating earnings of $0.02 per share during the third quarter of 2011. The results were in line with expectations and reflect the benefit of a decline in interest expense, offset by expected lower earnings on our lease portfolio. Energy Holding's $75 million investment in the 25-megawatt Queen Creek solar plant in Arizona has begun operation. Holdings also added to its solar portfolio with the recent $47 million acquisition of a 15-megawatt project in Delaware, which is supported through a 20-year power purchase agreement and is expected to enter service in the first quarter of 2013. Holdings liquidated its position in the Dynegy following the company's emerging from bankruptcy in October 1 of this year. On a pretax basis, Holdings has received $63 million as part of its claim in 2012. Of this amount, $49.9 million pretax will be recorded in the fourth quarter as part of our income from continuing operations but below the operating earnings line, as you may recall, we have done for all Dynegy-related impacts this year. Finally, on financing. Our capital position remains strong. We ended the quarter with $780 million of cash and debt at approximately 41% of capitalization. During the quarter, PSE&G issued $350 million of 30-year, medium-term notes at a cost of 3.65% to finance its continuing capital program. Power continues to generate significant operating cash flow given its low-cost position, while its capital needs remain modest. The balance sheet and cash flow are strong enough to support an increase in capital programs at PSE&G without any need to consider additional equity. So just to reiterate, as Ralph said earlier, we continue to forecast operating earnings for the full year of 2012 of $2.25 to $2.50 per share and reaffirm our subsidiary guidance as well. We're focused on achieving growth through our investment in stable, regulated infrastructure that provides reasonable risk-adjusted returns to our shareholders and supports our local economy through job creation. We've been focused on these core fundamentals of operating in an environment of low power prices for several years, and our efforts have improved the operating efficiency of our fleet while reliability remains strong. Our investment program remains supported by our strong balance sheet, and we believe our actions place us in a strong position to meet the needs of our customers, employees and shareholders now and in the future. Of course, our primary focus in the next few days will be safely restoring our customers and ensuring our employees are safe. Over the long term, our solid financial performance rests on our employees' outstanding efforts to serve our customers well in both good and challenging times. With that, I'll turn it over to the operator for your questions.
Kathleen A. Lally: Operator, we're ready for Q&A.
Operator: [Operator Instructions] And your first question comes from Daniel Eggers.
Dan Eggers - Crédit Suisse AG, Research Division: Listen, I know it's inopportune given all the work that you're working right now to restore Sandy and the great dedicated effort of your employees. But can you talk a little more about how you expect to go about recovery of the costs? And maybe when you'd expect to have a reasonable expectation of costs to restore?
Caroline D. Dorsa: Sure, Dan. Thanks for your question. So just a reminder on the costs and deferrals. So in terms of thinking about the prior the storms, as Ralph mentioned, what we have done previously on Irene, $0.02 impact on O&M and $0.03 were deferred. The process, just to remind you in big picture, in terms of the total costs, in general, what we defer are those extraordinary or third-party costs above and beyond the normal salary of our employees. So our regular employees who are spending their time on storm work as opposed to other work, we don't defer that. But as we contract with a significant amount of incremental, mutual aid that we have received, those are the kinds of things that we defer in addition, overtime of our ongoing employees would be deferred for recovery. We then have filed letters with the BPU in the past, as you've probably seen, those are public record. And those are simply requesting that these storm costs remain deferred and be considered in an -- in any upcoming rate case. This doesn't change our perspective on upcoming rate case, of course. We are earning our authorized return and don't envision a rate case in the near term. But the deferral would therefore be something that would flow into a subsequent rate case. So that's the basic approach that we take for the Utility, and we've gotten storm recovery in prior rate cases as well. And we already filed for this storm. We filed a letter requesting that deferral for the next rate case already, prior to the storm starting. So that's basically how it works for the Utility. Of course, it's not the same for Power. I know Power, as Ralph mentioned, we have some issues for Power as well, but we're just assessing those right now. So for this storm, from the Utility side, same as you have seen us do with prior storms, a little bit comes through the O&M and some is deferred. In both of our prior storms, actually, more was deferred through the O&M because of the mutual aid, the overtime and the extraordinary costs.
Ralph Izzo: And then Carol, I'm sorry, we should also mention the transmission wrinkle to the storm.
Caroline D. Dorsa: Oh, yes. Exactly. And for the transmission, as Ralph mentioned, we expect we might have some costs there. They are recoverable under our formula rates. So you should know, we just made the formula rate filing, as I mentioned, for the incremental revenues going forward. We're currently evaluating whether that can be updated now or whether that comes into the true-up later in the year, but the process would be the same. We would like to recover incremental cost for transmission, just like we're doing for distribution.
Ralph Izzo: And, Dan, just to kind of bound this from a customer point of view, well, every dollar matters obviously, a $0.03 deferral is about $24 million in rates. And on an annual basis, our customers, depending on whether you include gas or just electricity, pay us $5 billion. So it's not a major issue in terms of customer impact. So with all, candidly, with all due respect to the importance of any financial consideration, right now, 100% of our focus is on the operations and getting things back.
Dan Eggers - Crédit Suisse AG, Research Division: And then just on the Irene, just to make sure I understood it from the press release, the Irene non -- not completed response in the commission. If actually there's not been a complete response because you haven't filed a rate case so they didn't have to respond to it? Is that the right way to think about that?
Caroline D. Dorsa: No. No. So the Irene costs that we deferred, that Ralph mentioned, the $0.03 that we deferred, the deferral we have a request for the BPU to continue that deferral. And it would be considered whenever we would file a subsequent rate case. There's no timing. There's no other action they have to take, acting upon that request. It simply rolls into whenever we file a subsequent rate case.
Operator: Next question is from Paul Patterson of Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: First of all, just were there any major plant damages with Power because of the storm?
Ralph Izzo: So Paul, we had some issues at some of our peakers at Essex and Carney and Sewaren. The combined cycle at Linden was also somewhat affected. We're still in the assessment phase. But right now, I would say that some of the older FT4 engines which, as you know, were HEDD devices, bore the brunt of. The nuclear units are fine. Salem 2 is back into its refueling outage. Salem 1, we just finished some inspections yesterday. They show no damage to turbines, the circ water screens are restored. And that looks like it's on schedule to come back very soon. I want to be careful. I haven't checked what we've posted on the PJM website. That's the only public disclosure I'm comfortable making. So I would say there's a little bit of work to do with some of the Northern New Jersey gas. Because the new Carney peakers, I'm pleased to say, are in good shape. There's been more damage to electrical equipment than any of the mechanical equipment, is the best summary. So nukes is fine. Electrical equipment has been affected in the northern part of the state. But we'll be reporting on that in real time.
Paul Patterson - Glenrock Associates LLC: Okay. And then with respect to the MOPR issue, I know that there's sort of -- it seems like an effort to get this done before the next auction. But I'm wondering, when there are efforts of course to stop this controversial stuff, but if it doesn't happen, I mean I'm just wondering, are there really any subsidized plants that we know of that -- or that you guys know of, that are likely to be influencing the next auction? Because as I understand it, this MOPR only applies to new stuff. It doesn't apply to stuff that's already been -- if I understand it correctly, you can correct me, but it only applies to stuff going forward as opposed to what happened last auction?
Ralph Izzo: So that's correct, Paul. But there is one plant that received the standard offer contract, as we refer to as the SOCR contract. And I think I can mention the company because it's public, the NRG plant, which did not clear the last auction, which does have a subsidized contract that just starts at $361 per megawatt-day, and then varies over the next 15 years. It dips down to $215 and goes back up to $260. But I don't think this was controversial what were you referring to.
Paul Patterson - Glenrock Associates LLC: On that note, I guess I'm sort of wondering, I mean, considering that I've been listening to these MOPR stakeholder processes. And of course, there are objections coming from the BPU and from Maryland and what have you. And I'm just wondering whether or not, considering -- I mean, they seem to really like this idea of being able to at least build new gas plants or whatever. I'm just wondering, is there any thought of maybe coming up with sort of a settlement in which -- I don't know, sort of a new regulatory paradigm or anything so that -- maybe -- I just sort of wondered how this goes -- how they respond if they don't actually get -- if the MOPR is changed, how they'll -- I mean, is there any -- I guess, outside of the stakeholder process which seems to be -- it seems to be so contentious, I'm just wondering is there are any -- I know that obviously you guys are very busy right now with more important stuff with the hurricane and everything, but do you follow what I'm saying? Is there any thought of maybe just sort of...
Ralph Izzo: Sure. No, I understand you're saying, Paul. Settlement is to suggest that there is a negotiation among parties, as to its positions that can be reconciled. And so I guess, the stakeholder process that's underway is an attempt to alter the rules to create a more efficient process. So we are all united that we want an efficient market. But at the end of the day, what separates us is the firm belief on the part of the groups that are aligned with us that an efficient market does not entail subsidizing new entrants who provide the exact same technology as you to displace an incumbent. The way efficient markets work is that a new entrant comes up with a new technology or a better way of doing things to displace incumbents who maybe have a higher cost structure or less efficient technology. But to take our Linden and Bergen units and to try to displace them, or eat into their market share by subsidizing an identical unit, is not what we would call an efficient market. So we -- that's a bridge that we somehow need to understand how to construct or cross over. And right now, we're pleased with the fact that there's a large constituency that understands our point of view, and says, "That's not in the interest of customers over the long term." And the most important thing is that today's future entrant is tomorrow's incumbent. And you're not going to be able to constantly undermine the economics of 30-year investments by turning around to people and saying, "Well, I'm sorry, you're yesterday's story." And then hurting their economics. So we clearly have a disagreement there on policy. But where we agree is that we have to have a process whereby New Jersey customers and PJM customers benefit over the long term. Now we can't have temporary benefits with long-term harm to the customer base. And we believe the best way to accomplish that is with an efficient market, one which does not differentiate the same technology on the basis of when you entered the market. So settlement, maybe more of a meeting of the minds in terms of the shared goal of what -- doing what's best for the customer as opposed to settlement.
Paul Patterson - Glenrock Associates LLC: Okay. I won't ask anything further. Just one clarification, 0.8% was the normalized growth you guys expected -- you guys -- excuse me, that you guys estimate for the quarter on the electric side, I think, is that correct? And what would it be for the 9 months?
Caroline D. Dorsa: We can get you that, Paul. Yes it is 0.8% for the quarter. You're exactly right. So -- but because it was not as warm as the prior quarter, right, you didn't see the quarter-over-quarter absolutes were the 0.6% negative. Weather-normalized, the art that we usually do, we end up with a positive number of 0.8% for the third quarter. You're exactly right.
Operator: Next question is from Travis Miller of Morningstar Securities.
Travis Miller - Morningstar Inc., Research Division: I want to make sure I understand the hedges right here and the changes since you disclosed the second -- after the second quarter. Looks like you've added relatively little in 2013 and relatively little in 2014. But it also appears you had a pretty substantial decrease in the average realized price or the hedge price? Is that -- am I interpreting that right? And if so, what was the -- why did that change occur?
Caroline D. Dorsa: Sure, Travis. It's Caroline. Thanks for your question. So we give our hedges, of course, in 5 percentage point ranges, right? Just because we think that's the best way to provide the information. So we did update the hedge data in this quarter from last quarter, and thought -- increased those ranges slightly. Remember, and as I mentioned on the earlier remarks, there are 2 things going on in the hedges that comprise the data as we provided. One is the hedges that are PJM West hedges that we roll on at forward curve prices. The other is the BGS, prices that are embedded in the hedge data, which as you may recall, are at the full requirements total price less capacity. So they come in at prices that would look higher than a West hub hedge because they are inclusive of those other costs like transmission, as well as the risk premium and pass-throughs. So this quarter's numbers reflect both rolling on some incremental hedges at the West hub prices and depending on how our folks ratably layer those in, as well as updating estimates for BGS. And remember, those BGS prices in the weighted average have a little bit of a different impact on the mix because they come in directly at higher prices. So it's both our updating of our estimates which we constantly do on BGS going forward, as well as rolling in hedges all at the forward price curve. There's nothing else going on there in any respect except those 2 things.
Travis Miller - Morningstar Inc., Research Division: Okay. And now if we think about Power markets, my understanding was that there are -- actually a decent improvement. So are we seeing the BGS contracts roll through and then also the incremental PJM West hedges offsetting some of that?
Caroline D. Dorsa: Well, it's really a blend of both of those things. It's a blend of our -- of estimates for BGS, as well as what's going on in the forward curve as we layer on hedges. And you're right, forward curves have come up recently. So as we would layer our incremental hedges, those have the potential to be at better price has been -- than we have in the prior quarter. But again, we're always using that -- the forward curve. And of course, you're talking about the base load. So it's a combination of updated for BGS, as well as layering in at forward curve prices during the prior quarter, upcoming layering in that we will continue to do pretty consistently would be at the forward curve prices you see now.
Operator: Question is from Kit Konolige of BGC.
Kit Konolige - BGC Partners, Inc., Research Division: Caroline, just to follow up a little bit on the sales growth. You guys actually having any positive sales growth is better than some of the companies we've been hearing from. Do you have any color on what customer classes are buying more power and why?
Caroline D. Dorsa: Thanks, Kit. So if we look at weather normalized as we talked about the 0.8% -- 8/10 of 1%, so it's not really dramatic growth. When we look at the data both for the residential and for the commercial and industrial, taking sort of C&I together, it's pretty even between both categories, a little better in the residential than in commercial and industrial. And recall, of course, commercial and industrial in our region is pretty small. So industrial, particularly is small but residential is the largest piece -- electric, right for commercial is the largest piece in electric. And residential, of course, is the largest piece in gas. So industrial is about 10% as we typically talk about. And then for commercial and residential, we're seeing increases in both of those categories, really all 3 categories. With of course, the things that drive the weighted average being commercial first and then residential. But again, the increase isn't dramatic and the weather normalized is sort of an estimate. So I wouldn't put too much stock at this in terms of saying we see any dramatic trends at this point.
Kit Konolige - BGC Partners, Inc., Research Division: Great. And can you give us any additional insight into -- you talk a lot about the cash from operations to debt metric at Power, anything -- any moving parts there?
Caroline D. Dorsa: Sure. So we provided the debt-to-cap number, as I did on the call. But you're right, I mean, the FFO-to-debt number is the critical metric we look at, at Power. And as you know, from the data we've provided previously, that metric continues to stay well above our floor, not our target level, but our floor level of 35%. And so we see no issues in our current numbers or in our forecast numbers of being well in excess of that floor level for Power's FFO-to-debt. And that includes, of course, everything we talked about relative to ongoing programs and investment at Utility, as well as Powers. Own cash flow and Power has very modest capital needs. So we give you the debt-to-cap because it's an easy end-of-period number to look at. But if you look at any rolling set of data from us on the FFO, we continue to be well in excess of our floor.
Operator: Next question is from Paul Fremont of Jefferies.
Paul B. Fremont - Jefferies & Company, Inc., Research Division: Really, 2 questions. The first is -- the first relates to PSEG Power. And I guess, there was $82 million of other income this year versus $19 million last year. It looks like some of that improvement comes from nuclear decommissioning trust funds related activity. I guess, you identified about $33 million there. First of all, what is the $33 million? And I guess second of all, what would be the remaining difference there?
Caroline D. Dorsa: Sure. So if you're looking at NDT, which you're right, would be a significant impact this year on a year-to-year basis. So just keep in mind, on the NDT, and I may have explained this before but if not, let me just, kind of, walk you through it. So the NDT is, of course, our trust fund for the decommissioning of the nuclear plant. And in the NDT trust, we have an excess of $1 billion in assets. It's about actually almost $1.5 billion as of the end of September. The NDT trust is invested between equities and fixed income securities, and we recognized gains on the NDT trust when securities are sold. Of course, dividends are recognized as dividends come through and are paid, but gains are only recognized when securities are sold. So although we manage the portfolio on a total-return basis with a group of third-party asset managers. Of course, we don't manage money in-house. When we change managers, sometimes, you see incremental gains roll through the NDT trust that would look higher than you would see if we've kept the same managers, and we were just seeing dividends in the normal manager portfolio turnover that they would do their own volition. So we did have a little bit of changes to our NDT manager list. So we put on some new managers and ended relationships with a few other managers. What that resulted in is portfolio turnover that results in realizing long-term unrealized gains. Just like if you held a security for a long time and you knew it was -- had appreciated but you haven't sold it. When those gains are realized, is when the managers are turned over, the new manager doesn't want the prior manager's holdings, that security is sold and the gains are realized and that comes through the other income. It's not an operating earnings. Again, we keep that below, just because of those kinds of things that can happen on a quarter-to-quarter basis that aren't really reflective on ongoing earnings. And that's exactly what happened this quarter. Normal manager turnover and hiring and terminating an old manager, lead to some gain realization.
Paul B. Fremont - Jefferies & Company, Inc., Research Division: And then the remaining like $20 million or so there?
Caroline D. Dorsa: Yes. I think everything that we're seeing there, Paul, is basically NDT. The only other thing that's a little below the line in our operating reports across the market, but most of what you're seeing there is NDT.
Paul B. Fremont - Jefferies & Company, Inc., Research Division: Okay. And then I guess, the last question would be it looks like the coal price per megawatt hour -- or fuel cost per megawatt hour on coal is almost $7 lower. Is that part of the renegotiation that you talked about? And should we expect those numbers to be permanently lower than, I guess, you've given. In the past, you've given ranges for I think Keystone and Conemaugh and some of the other plants?
Ralph Izzo: I think it's because we ran some of our coal units on gas that you're seeing that, Paul.
Caroline D. Dorsa: And a little bit higher percentage of Keystone and Conemaugh in that mix. When you do the per megawatt hour, you've got a little heavier Key-Con, which of course is the less expensive coal than our Eastern unit.
Operator: Your next question is from Maura Shaughnessy of MFS Investment Management.
Maura A. Shaughnessy - MFS Investment Management, Inc.: Perhaps, the volatility in some of the pricing in August and September, and chatting with various players in the market, it seems that some of your peers continue to have this kind of ratable hedging strategy and hedging into the markets, potentially 2 or 3 years out when there are no natural buyers and putting in the seasonally, potentially seasonally weak or shoulder months of the commodity. Just dampening prices even further and so -- perhaps not having any sort of return focus and potentially not even making any money on those hedges, if not losing money. Which is sort of hard to understand for those of us watching this go on. Just wondering any comments to your own hedging strategy in that regard? And any comments with regard to sort of the industry actions?
Ralph Izzo: So Maura, I can't comment on others for obvious reasons, but we also do ratable hedging within a flexible band that we publish. But by and large, we hedge in a margin. We've booked the fuel and the sales and make sure that we're not hedging at a loss and trying to make it up on volume. I don't mean to be flip because obviously it's a serious question. So I don't know what others are doing in that regard, but we certainly don't book in losses with the expectation of maybe, if we didn't do it, it would only get worse. That's not the way in which we run our book.
Maura A. Shaughnessy - MFS Investment Management, Inc.: And is there anything just in terms of your own knowledge that some of the events of August, September, which caused potentially a little bit more volatility than what we've seen in the past? Was there anything abnormal or even more hedging going into that? And obviously gas has been all over the place as well.
Ralph Izzo: Yes. I mean the only question that I think I've received with increasing frequency from investors, and one can extrapolate from this, but I won't do the extrapolation, I'll just give you the facts. In terms of the questions we received is, the others seem to have believed that the forward prices will be going up, that the forward price curve is discounting what future prices will truly be. So don't want you stay more open? So that question we've been getting with increasing frequency. And we keep giving the same answer, which is where not in the business about guessing the forward price curve. And within the bands that we've put forth, we give ourself some flexibility, but we run this business as if the forward price curve is best information that's available to us.
Maura A. Shaughnessy - MFS Investment Management, Inc.: And any comments potentially going out more 2 or 3 years in terms -- we've had the various financial crisis or what have you, where some of the potential natural buyers, potentially have changed from the liquidity. Any thoughts going further out, and is it more difficult now? Or...
Ralph Izzo: We would not want to go further out for 2 reasons. As you pointed out, the liquidity does drop once you get beyond the 36-month period. And while it's not the whole story, just remember we have 2 very natural products that are bounded over 3 years, and those 2 products are the base residual auction in RPM and the BGS contracts. So we try to hedge up 100% of our base load in 12 months, and then 75% of it over 24 months, and then half of it is just base load over the 36-month period. And we stay pretty open on our intermediate load following and peaking units just to capture that volatility that you referred to.
Caroline D. Dorsa: And Maura, also when we roll in the BGS, for example, in the upcoming February, that for this out year -- calendar year when we start to look at that year, it's BGS that comes in there first because it takes a while before that market becomes liquid enough to then role in other hedges. So usually that's very heavily weighted to BGS until it becomes near-term and liquidity starts to happen or something has happened post-BGS, but usually that's for this year out, it's almost entirely BGS.
Operator: Your next question is from Stephen Byrd of Morgan Stanley.
Stephen Byrd - Morgan Stanley, Research Division: Caroline, you mentioned that some of the coal contracts have been renegotiated to better fit the expected output. Should we expect any ongoing financial impact? Were there penalties involved? Or is that fairly baked in and shouldn't have a material impact going forward?
Caroline D. Dorsa: Well. A good question, Steven. And we've talked about that a little bit earlier this year. We are doing some renegotiated coal contracts to better match our needs. Certainly, if we have done anything that resulted in penalty, today, you would have seen that already, right? So if anything occurs going forward, we'll certainly give you a price and break that out. But right now, I think, just kind of stand with where we are, and we've been done some renegotiations and kind of pleased with those results that pull things out a little bit.
Stephen Byrd - Morgan Stanley, Research Division: Great. And then just on nuclear capacity factor, I think you mentioned for the year the target was around 91% full year, and that factors in the current events following the hurricane, et cetera. I was just curious with the nuclear plants, any variability or risk there in terms of just full output or just given, for example, flooding in the river and matter that shows up in the river, or is that really not a material thing to think about?
Ralph Izzo: That's -- Stephen, it's Ralph. That's taken into account, right? I mean, that's why Salem 1 became offline. There was some damage to the circ water screens. I'm 99% sure those were all repaired as of 24 hours ago, and we were just doing some routine inspections prior to start-up. So the tidal surge actually was the bigger issue this time instead of debris and just the mechanical stress and strain on those screens.
Caroline D. Dorsa: And the 91% percent does reflect our best estimate at this point of the capacity factor.
Ralph Izzo: And by the way, when I say routine start-up, I don't mean like routine refueling outage start-up which would be weeks, I mean routine start-up which is days.
Operator: Your next question is from Julien Dumoulin-Smith of UBS.
Julien Dumoulin-Smith - UBS Investment Bank, Research Division: First question here, just on the subject of sort of power market recovery, if you will. We heard one of your peers earlier today describe upwards of $3 to $6 midwater [ph] and upside of the forwards. And then I'm just a bit curious, from your perspective, does that ring through? And where would we -- in what manner can we see that play out? They're obviously talking more of a '15, '16 period, does that kind of jive with you guys? And then secondarily, maybe along with that $3 to $6 upside, coal retirements, how are you seeing that play out? And perhaps that's more of a comment or question regards to your own portfolio, perhaps in New England?
Ralph Izzo: So, Julien, I -- let me begin by saying I absolutely hope they're right. The risk of stating the obvious. Number two, let me just reiterate that we just don't manage the business that way. We assume the forward price curve is the best information that's out there. That's it. To answer your question specifically, here are some ways that they might be right, but we do not hedge, and we do not run the business assuming what I'm about to say is true. We've seen Casper rejected twice. Okay? We all believe HAPs-MACT is going to go into effect in 2015. We know it's being litigated, maybe the market is not giving it 100% credit, very likely the case. We've talked about the weakest recovery from the deepest recession since the Great Depression. Maybe the housing market is recovering, and we haven't seen that fully reflected in price. We're seeing a robust demand for natural gas in the industrial section. And perhaps we're not seeing that fully reflected in price. We have an election coming up in 3 days. Could that result in a change in direction at EPA? Maybe that's not fully reflected in price. So my colleagues are very smart. And certainly, the -- everything I just said could give you some optimism that prices would change going forward, but we're just believers in the collective wisdom of the market, and therefore we run the place based on the forward price curve. How many times have I said that now? I don't know. And I don't mean to sound like a broken record but that's -- so that's a possible set of circumstances that could lift those prices up.
Julien Dumoulin-Smith - UBS Investment Bank, Research Division: And perhaps on the second side of the question, quickly, just in terms of -- aggregately coal plant retirements, we've obviously seen the first [indiscernible] a little early to start talking about capacity terms again? But I hear that...
Ralph Izzo: So Julien, you cut out a lot, but Kathleen has bionic hearing, and she said she thinks that what she heard you say is are we planning to retire coal units, and the answer is, no, if that was a question. If it was a different question, you might want to call Kathleen with that later on.
Kathleen A. Lally: Operator, I know we're a little bit over, but we started a little over. I'm going to turn the call over to Ralph for some final comments. And please, any additional questions, feel free to call Investor Relations later today. Thank you.
Ralph Izzo: So listen, folks, all kidding aside, I know I've been a little bit more light hearted in a couple of my comments today, I will write that off to maybe a little bit less sleep than I normally receive. But in all seriousness, look, you're hearing from a very proud company with 109-year history. Now I got to tell you, in my 5 years as CEO, I've had the 2 biggest storms in our history, and our first and only Halloween snowstorm. So I would be lying to you, and I don't lie to you, if I said that these events have been welcome. But nonetheless, we're in great shape. And it just begins with great employees from our unions to our business unit presidents. We've got excellent assets. Some of them took a hit these past few days, but we're fixing them, and we're getting them back to service, and they will be back in service. We've got an outstanding balance sheet, which is an outstanding financial leadership in this company with Caroline on down throughout the team. And not -- we don't always agree with the State, but in so many ways, we've just got an unshakable partnership with them, and it never is more apparent than at times like these. So when you write all that up, it's a very strong and a very positive outlook, and one that I'm looking forward to being able to smile upon in the days to come. So thanks for being with us. We'll see you at EEI. And that's it for us.
Caroline D. Dorsa: Thank you.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may disconnect, and thank you for participating.